Company Representatives: Martin Mucci - Chairman, Chief Executive Officer Efrain Rivera - Chief Financial Officer
Operator: Good day everyone, and welcome to Paychex’s Q2 FY'22 Earnings Conference Call. At this time all participants are in a listen-only mode. Later, you will have an opportunity to ask questions during the question-and-answer session. [Operator Instructions]. Please note, this call may be recorded. It is now my pleasure to turn today's program over to Martin Mucci, Chairman and Chief Executive Officer of Paychex.
Martin Mucci: Thank you, Emil [ph], and thank you for joining us for our discussion of the Paychex’s, Second Quarter Fiscal Year 2022 Earnings Release. Joining me today is Efrain Rivera, our Chief Financial Officer. And this morning before the market opened, we released our financial results for the second quarter ended November 30, 2021. You can access our earnings release on our Investor Relations website, and our Form 10-Q will be filed with the SEC within the next day.  This teleconference is being broadcast over the Internet. It will be archived and available on our website for approximately 90 days. I will start today with an update on the business highlights for the first quarter, and Efrain will review the financial results for the quarter and provide an update on fiscal '22. We will then open it up for your questions. Today we reported strong financial results for the second quarter of fiscal 2022, as both Management Solutions and PEO and Insurance Revenues increased double digits year-over-year and adjusted diluted earnings per share increase 25%. We continued to have strong momentum from the first quarter with positive trends across the entire business.  Client bases across all major solutions have continued to grow. Sales performance for the second quarter was strong across the board, resulting in our highest year-over-year growth in new annualized revenue in over five years, and in fact a record high level of annualized revenue sold for the second quarter and the first half of the year.  The investments we've made in our technology, product, sales and digital marketing have positioned us well for success in today's environment. Our client retention remains near record levels. This is reflective of both the resilience of small businesses in the U.S. and the value provided by our unique blend of software solutions and HR expertise. Macroeconomic tailwinds persisted in resulting in strong growth in checks per payroll and increases in worksite employees in our HR outsourcing clients.  The tight labor market and war for talent has been very challenging for all businesses. In response, Paychex’s ourselves have taken proactive steps, implementing incentives and programs to compete for talent and we've made significant progress in hiring over the past quarter and we’re well prepared heading into the calendar year end and selling season.  COVID 19 and its variance continue to pressure businesses of all sizes and we constantly enhance our robust set of COVID-19 related solutions. Most recently within 10 days of the legislation surrounding COVID-19 vaccination and testing, we introduced a digital solution that businesses can leverage to confidentially capture and store employee vaccination status and request testing results for the unvaccinated. To help our clients stay up-to-date on all federal and state regulatory changes, we continue to introduce new methods of communication to proactively keep them informed and educated through white papers, webinars, videos and our podcast series on the mark.  We closely monitor topics that may have a significant impact on our clients, such as vaccine management's, updated guidance on Employee Retention Tax Credit or EITC and the return of mask mandates in specific states. We remain a trusted resource to support small and mid-size businesses. The trends we saw accelerate during the pandemic continue, including the need for HR advice; the need to upgrade employee benefits and retirement solutions to attract and retain talent and the acceleration of digital technology solutions to support a distributed workforce, and tools to help businesses maximize available stimulus from the government.  We've seen the benefits of these trends and strong demand for our HR Solutions. Another business that is benefiting from strong demand is our retirement business, where we have reached 100,000 client milestone. As a leader in this space, we are uniquely positioned to help businesses meet the growing number of state mandates for retirement plans and provide a critical benefit offering to drive employee retention and satisfaction.  In fact, in January, we were one of the first to release a PEP plan or Pooled Employer Plan and 11 months later, not even a year later we now have over 10,000 PEP clients. The access to stimulus funding has been a powerful retention tool for Paychex. We're proud that we've been able to help clients obtain billions in Paychex Protection Program loans and approximately 90% of our clients have leveraged our award winning PPP forgiveness tool to gain some or all level of forgiveness for those loans, effectively transitioning the PPP loan into a grant. We’ve also helped businesses gain access to over $6 billion in employee retention and paid leave tax credits. Returns for clients leveraging our ERTC service represent a significant amount for any business. Two of our most recent technology innovations focus on employee retention. Our retention insights offering use – our retention insights offering uses predictive analytics based on a few dozen unique data elements to help employers identify employees who may be more likely to consider leaving their organization. This is Paychex’s first client facing predictive analytic and could not come at a better time given today's competitive labor market.  We also introduced a completely enhanced total compensation summary that can be used by employers to communicate the impact of their total pay and benefits packages for employees. These are just two examples of the powerful technology and use of information we're providing to help employers compete and retain talent.  We continue to enhance our technology solutions to deliver efficiency for our clients, their employees and Paychex through self-service and chat bots. Use of our cloud based applications continues to grow with double digit increases in both desktop and mobile devices. During our recent open enrollment period for our POE clients for example, 99% of our PEO worksite employees completed their open enrollment digitally, resulting in a 26% reduction in call volume.  Our continued emphasis on expanding the digital capabilities of Paychex Flex was validated by several recent awards. We were named by NelsonHall, a leading global analyst research firm, as a leader in their annual NEAT vendor evaluation report for human capital management. Paychex’s placed in the leader quadrant of the next generation HCM Technology Report. This designation was based on our ability to deliver immediate client benefits and meet clients’ future requirements.  In addition, Brandon Hall Group has just recognized Paychex Flex with two Excellence in Technology awards. Our ERTC service was recognized in the category of Best Advance in HR and Workforce Management Technology for Small and Mid-Sized Businesses, and Paychex Pre-Check was recognized in the category of Business Strategy and Technology Innovation. This is our ninth consecutive year we've been recognized for technology in this award program. The largest and longest running award program in the HCM space.  Before closing I'd like to take a moment to discuss the recent change in executive leadership roles that took effect on December 1. I have assumed the role of Chairman of the Board and will continue to serve as Chief Executive Officer. Tom Golisano our Founder and prior Chairman will remain a Board Member and will continue to play a role in the governance and oversight of the company.  John Gibson, our Senior Vice President of service since 2013 has been promoted to the role of President and Chief Operating Officer. John has been an integral part of our executive team and has led the service and operations of all Paychex’s businesses divisions, including HR Outsourcing, Payroll, Retirement and Insurance. There remains continuity leadership to drive Paychex’s of the future and I'd like to thank Tom for his leadership and for his continued support as we move forward and wish John well in our future growth.  In summary, we are proud of our performance during the second quarter. We are well positioned with our set of innovative technology and service solutions for the selling season and to continue providing industry leading value to our clients.  I will now turn the call over to Efrain to review our financial results for the second quarter. Efrain? 
Efrain Rivera: Thanks Marty and good morning everyone. I'd like to remind you that today's conference call will contain forward-looking statements that refer to future events and therefore involve some risks. In addition, I will periodically refer to some non-GAAP measures; refer to the customary disclosures.  So, let me start by providing key points for the quarter, follow-up with greater detail in certain areas and I’ll finish with the review of our fiscal 2022 outlook.  Our second quarter results reflected strong internal execution and continued economic recovery. Both service revenue and total revenue increased 13% to $1.1 billion. Within service revenue, Management Solutions revenue increased 14% to $832 million, driven primarily by growth in client bases across our portfolio of solutions, higher revenue per client and improved employment levels.  Client based growth resulted from both strong sales performance and high levels of client retention. In particular, our HR Solutions Business continues to benefit from strong demand as businesses look for more HR support. PEO and Insurance solutions revenue increased 11% to $262 million. Our PEO has benefited from higher average worksite employees, state unemployment insurance revenue and health insurance attachment.  Interest on funds held for clients decreased 5% for the quarter to $14 million. The impact of lower average interest rates and realized gains was partially offset by a 9% increase in average investment balances. Total expenses were up 6% to $668 million. The growth in expenses resulted from higher PEO direct insurance costs and increase in benefit cost to our employees and continued investment in our products, technology, sales and marketing.  Op income increased 24% to $440 million with an operating margin of 39.7%. Adjusted operating margin was also 39.7% in the second quarter compared with 36.1% for the prior year period, an expansion of 360 basis points. Our effective income tax rate was 24% compared to 22.1% for the same period last year. Both appear to reflect net discrete tax benefits related to stock based compensation payments.  Adjusted net income and adjusted diluted earnings per share increased 25% for the quarter to $330 million and $0.91 per share respectively. Year-to-date results, I’ll touch on the highlights briefly here. This is for the six month period obviously ending November 30. Total service revenue and total revenue increased 50%, 14% respectively to $2.2 billion expenses, excluding one-time costs incurred during the prior year increase 5%. Op income and adjusted Op income were $883 million, increases of 38% and 32% respectively. Diluted earnings per share increased 37% to $1.83 per share, adjusted diluted earnings per share increased 32% to $1.80 per share.  Let's talk about financial position. It remains strong with cash restricted cash and total corporate investments over $1.1 billion and total borrowings of approximately $800 million as of November 30. Cash flows from operations were $555 million during the first six months, an increase of 29% from the same period last year. Free cash flow generated was $459 million, up 21% year-over-year. The increases were driven by higher net income, partially offset by fluctuations in working capital. We have paid out quarterly dividends at $0.66 per share for a total of $476 million during the first six months. Our 12 months rolling return on equity was 43%.  Now I’ll turn to guidance for the current fiscal year ending May 31, 2022. The outlook reflects the current macro environment, which saw improvement in the quarter. We’ve taken that into account in the second quarter results, and our second quarter results actually exceeded expectations.  We have some conservatism given the macroeconomic uncertainty that prevails during the remainder of the year. We provided the following updated guidance as you saw. Management Solutions revenue is now expected to grow in the range of 10% to 11%. We’ve previously guided to a growth of approximately 8%.  PEO and Insurance solutions is expected to grow in the range of 10% to 12%. We previously guided to grow in the range of 8% to 10%. Interest on funds held for clients is expected to be flat year-over-year. Total revenue expected to grow in the range of 10% to 11%. We previously guided to growth of approximately 8%. Adjusted op income is expected to be in the range of 39% to 40%, up from the previous guidance of 38% to 39%. Adjusted EBITDA margin is expected to be approximately 44%, up from the previous guidance of approximately 43%.  Other expense net is expected to be in the range of $15 million to $18 million. Our previous guidance was in the range of $23 million to $26 million, with the change due to certain non-operating income received during the second quarter.  Our effective income tax is still expected to be in the range of 24% to 25% and adjusted diluted earnings per share is expected now to grow in the range of 18% to 20%. We previously guided the growth of 12% to 14%.  Turning to the third quarter, we currently anticipate total revenue growth to be approximately 9%, and we are expecting an adjusted operating margin of approximately 42%, so note that in your models. PEO and Insurance solutions revenues for the third and fourth quarter of fiscal 2021 were impacted by the timing of notification of changes in state unemployment insurance rates. This creates compatibility issues for the third and fourth quarters of fiscal 2022. It doesn't affect the whole year. You’ll look at our investor presentation when we post it in a little bit, and we provided additional details so you can get the split of the quarters correct.  Of course everything that I just said is subject to our current assumptions, which could change given the current environment. We'll update you again on the third quarter call. And with that, I’ll turn the call back over to Marty. 
Martin Mucci : Thank you, Efrain. Emil [ph] we’ll now open the call for questions or comments please. 
Operator: [Operator Instructions] And we'll take our first question from Kevin McVeigh with Credit Suisse. 
Kevin McVeigh : Great! Thanks so much and congratulations on the results. Marty and Efrain, it looks like you delivered a 44.7% margin in the quarter. I think that's the highest on record and even going back to ‘07 when kind of the float income was half of what it was today. Can you maybe talk to just some of the structural changes? Marty you talked to kind of the Chat bots, things like that. But may be just can you help us frame, is there a new range of margins. Just any thoughts as to just the leverage in the model, because obviously just you're seeing outsized margin expansion and really still some headwinds around float income and things like that, so just wanted to start there if we could. 
Martin Mucci: Sure, and I’ll let Efrain jump in to. I think there is really two parts to it. One is, we've been down some head count temporary as you know in a challenging hiring, but we really picked up a lot of hires in the second quarter due to some creative things we did. But I would say overall the bigger impact is that we have automated a lot of the service models.  When you look at it and you think about chat bots, when someone comes on the web now to ask a question, over 60% of the questions are being answered in an automated fashion with a chat bot before they go to anyone live. Also as I mentioned in my comments, if you just think about the things we've done with Flex in our PEO offering, 99%, almost 100% of POE employee's, worksite employees handled open enrollment online digitally now, and that reduced calling in for questions and issues by over 25%.  So a lot of the things we're doing not only with the product, but with the service model themselves have reduced the number of calls that are coming in. Not only are the clients happier they are getting a faster answer and it's being done the way they want to receive it, which is either automatically or through chat, etc., but also we're saving expense and time and allowing our specialists to handle more value added calls for the client, so these are a wider range.  You know I think there's always a little bit wider range and you know that's our DNA, is to kind of drive margin as best we can. I would say a little is temporary, but most of it is the things that we've been doing year-after-year. 
Efrain Rivera: Yeah, there's no – to add there Kevin. I mean I’ll just say that you know this very well and I think many of the analysts that cover us. We have evolved significantly from a technology standpoint. We have evolved significantly in terms of our digital capabilities and the model shows it, the margin show it. We will put up our margins against anyone in the business, because to Marty's point, its durable, its sustainable and its technology based. 
Kevin McVeigh : No, I get that. And just a follow up on that and I'll get back in the queue, because the numbers kind of speak for themselves. But is that the same level of success on the front end too in terms of the implementation. Like is there any way to think about when you are implementing a client for the first time, how much of that is fully digitalized as opposed to more a human component too. Is that too abstract? 
Martin Mucci: No, I know. What your saying is exactly we're heading. There's more and more clients that can self-onboard themselves. I'd say we're still more – we are newer into that process, but that is happening, not only because it's good for our expenses, it's really good for the client, the client want to self-onboard. SurePayroll division has been doing this for some time and Flex is continuing to grow into that.  So if it's particularly a smaller clients, they want to start onboarding themselves, there's a couple benefits. Not only does it reduces costs, it allows the client to on-board themselves at their pace and it also really, it creates a lot fewer errors and interactions with the service team, because the client is doing it at their own pace and when they want to do it and how they want to do it. And the last thing is that it frankly many times is a better sale if you're buying online digitally and then you start self-onboarding yourself and you might need help, but if you don't, you complete that, it's better than multiple sales people and service people talking to you to implement you. So we're definitely headed – we're definitely down that path, more on this SurePayroll side, but Flex is increasing as well. 
Kevin McVeigh : Thank you, and again congrats on the promotions. 
Martin Mucci: Thanks Kevin. 
Efrain Rivera: Thank you. 
Operator: We'll go next to Bryan Bergin with Cowen. 
Bryan Bergin: Hi! Good morning and happy holidays! I wanted to start with retention. Can you just talk about what you're seeing there? It sounds like its still record, but you did expect some moderation in the year. So any change on that front and can you talk about some of the underlying factors you would typically see that driver tensions as it relates to out of business closures or normal clients switching behavior. And just also beyond 2Q, if you can help us a little bit into the December month as well? 
Martin Mucci: Yeah, I think so far Q2 was still near record levels. It wasn't quite as high as the record that we saw in Q1, but it's very close to that. I really still think as I said last quarter that we will kind of even out at some place better than we were pre pandemic and I think a number of things that are helping that, there is fewer out of business, but there is also just the value of the product. What we're seeing is the value.  You know we are not seeing as many leaving for price value kind of category, because they are seeing the value of the product, especially in a time of COVID, with all the value we're bringing them from the product side, from the technology, handling a distributed workforce, with all of the mobile apps that we have and ability. And now the retention tools that we're giving them and the Paychex Pre-Check, where we are allowing the employees to review and approve kind of their own pay before he even gets processed.  All these things we’re getting back from clients are adding value and that is doing exactly what we hoped, which is not only adding value to the client, but improving retention. So we're near record levels in Q2. Don't see anything changing at this point in December. Of course December-January is really where we'll see the number for year end, but right at this point we expect things to even out certainly better than pre pandemic levels. 
Bryan Bergin: Okay, that’s good to hear. And then the – you know I understand the conservatism in the outlook given everything that's going on with a omicron. Any – have you seen an actual impact in any sales activity or pipeline yet or was it just conservatism making sure you may see some actual impact? 
Efrain Rivera: I think we're always trying to be conservative, especially in an environment like this, like you said, but right now record levels of par annualized revenue we're seeing and growth in the first half of the year and in the second quarter. It still seems strong, but selling season is really when we know how that'll be. But right now really all areas, you know retirement, HR Solutions, mid-sized business, you know our mid-market business and virtual sales, digital sales, all going strong. 
Bryan Bergin: Okay, thank you. Do well.
Martin Mucci: Okay. Thanks Mike. 
Operator: Our next comes from Andrew Nicholas with William Blair. 
Andrew Nicholas : Hi! Good morning. I appreciate you taking my questions. I guess my first one is kind of sticking with the technology theme from the responses to the first couple of questions. Just as it relates to kind of relates to kind of paying for that kind of talent, my sense is that you know engineering, software, building talent is getting more and more expensive; it has for some time. Just wondering how you think about that, both from an expense perspective, but also a labor supply perspective as you move forward here through the rest of the year and beyond. 
Martin Mucci: Yeah, I think you know one thing we've got a very tenured team and Mike Gioja and the team has done just a gear job. You know Mike’s been in charge of that for over 10 years now and has just done a great job with that team and you know and I think one of the things, yes, the costs go up and you have to compete in this market and I think we've done that very effectively.  We also make it a great place for them to work. They can all – they all can work from home, yet they also have great office space that's available to them to come in, and they meet you know regularly, but they're all working from home. They are also working on some of the latest technology and digital services and that adds a lot of retention as well.  Years ago, you know 10-plus, 15 years ago you know where there was always an issue; are we working with the latest technology? Well you know we’ve blown well past that. We're a leader from an innovative product development, not only the products that we have, but the way we develop them and the infrastructure and architecture that we use. And so I think that is very attractive to candidates and attracted to the employees to stay here. So we're very proud of the tenure we have and I think we pay very competitively and that's why we've had good retention. 
Andrew Nicholas : That's helpful. Thank you. And then just for my follow-up, a different topic. Just on the PEO insurance business, could you maybe break down the PEO performance versus insurance performance in the quarter. I think your expectation last time we spoke was that insurance was going to be a bit slower this year. Just wondering if that’s played itself out to this point and if second quarter helps speak to that any further. Thank you. 
Efrain Rivera: Yeah, thanks Andrew, fair question. So when you look at the PEO business versus the Insurance business, the Insurance business moderated the overall growth of PEO and Insurance. PEO was solid double digits growing nicely; good client ads, good client wins. Insurance is a tale of two cities. The health and benefit side grew upper single digits and but where comp still remains a really tough compare, because that market continues to be soft.  I probably am going on four or five years of talking about softness in workers comp, but it is good to say it at least has moderated to the point where we were flat year-over-year, but increasingly it’s a smaller and smaller part of the business, but it hasn't bounced back yet.  So PEO are doing very well. I’d say health and benefits on the insurance side are doing well. Workers comp kind of creating a situation that moderates the overall amount. Hopefully as we get into next year that will start to turn around. But I've said that before and been wrong before, so don't take it to the bank. Thanks. 
Andrew Nicholas : Alright, thank you. Happy Holidays! 
Efrain Rivera: Thanks Andrew. You too. 
Operator: We'll go next to Eugene Simuni with MoffettNathanson. 
Eugene Simuni : Thank you very much. Good morning! I wanted to ask first about Management Solutions. Very impressive performance this quarter, outperforming I think everybody’s, including your expectations. You listed out a number of drivers that are behind that outperformance. Can you give us a little bit of color of which of these drivers are more one time, kind of temporary in nature in which can be sustained as we're moving forward? 
Efrain Rivera: Let me start and then a maybe Marty can add some further color. So, if you look at Management Solutions and you kind of apply, kind of a broad umbrella of what's in that revenue stream, you really have three important components. As many of you know, you've got HCM solutions that are roughly about, a little bit under half of that revenue stream, but then I would say there's two other parts that we don't talk about as much, but increasingly have become very, very important, which are the combination of retirement services and also what we would call ASR, HR Outsourcing; this not PEO.  So if you look at that, those two in comparison to HCM, they are now almost 50% of what HCM is and they are growing at rates that are faster than HCM. Now HCM had a very strong quarter; it's not that it didn’t. It's just that retirement services and HR Outsourcing had even stronger, even stronger quarters.  Now those are not one-time things. There's demand in the environment for both retirement services. I think Marty mentioned PEP plans, etc. and our success there, pretty clear we are leading the market in terms of selling of that product. If you look at, if you trace that back, we didn't release it, but you trace that back to our sales. Sales have been very strong and on the HR Outsourcing area, solution side, that's been very strong too. Both of those are driven by unique factors in the Market HR, because of the uncertainty the environment, the demand, the value proposition has never been higher and as a consequence demand is very strong.  And on the retirement side, there are increasing amounts of states that are mandating retirement plans for employees that have benefited our business and that continues to grow strongly. So what have I just said? I've said that a lot of the demand of forces within Management Solutions obviously have benefited from a pandemic rebounded, but if I isolate the HR Outsourcing and retirement services, those are responding to other forces in the economy that we think are pretty durable.  So long story short, there isn’t a lot of one-time in there. There are some things. The rebound certainly is part of it, but there are also structural demands; structural factors that are driving demand higher. 
Martin Mucci: Yeah, I think that's very true, and as Efrain went through those, every product is strong. We didn't necessarily expect retirement to be as strong as it is, and as I mentioned our PEP product, we're one of the first to come out with the PEP product, the pooled Employer Plan back in just January of this year, so not even a year later we are 10,000 clients.  We have sold that extremely well and when you look across the board, Efrain mention between time and attendance, but HR Solutions you know in a COVID environment is so critically important and the technology that we've been reduced on the mobile apps, so the ability to really handle distributed workforces, to be able to track vaccinations, and those who were unvaccinated, all these things are part of a digital experience that clients are really seeing. So I think most of it is sustainable growth that we're seeing.  Even the macro that you're seeing, more checks and so forth should be sustainable unless there's a drop off because of the very in in the next year, but we don't see that and still there’s room to grow. You know there’s a lot of people that are still not employed and we expect that could pick up next in the first part of half of the next calendar year. 
Eugene Simuni : Got it, got it. Thank you. And then for my follow-up I wanted to quickly ask about inflation impact, COVID inflation being the word of the day, could you just remind us quickly of the kind of puts and takes of the high inflation for your own business.
Efrain Rivera: So, you know inflation in general is a net positive, hard to say it that way, but what it does is because of the segment of the market that we're in, we have relatively more pricing power than if you work in the enterprise space, although I suspect they'll have more and more pricing power. So it gives us, in terms of our model, a measure of ability to price maybe a little bit higher than we have experienced in previous years, to the extent that inflation also drives interest rates higher that also has a benefit on to the business.  So obviously there is a balance there in terms of, if interest rates and inflation surged too high, could have a dampening effect on economic growth, but assuming it's under some reasonable level, it's going to be a net positive for the business. 
Eugene Simuni : Got it. Thank you. Well, happy holidays guys! 
Martin Mucci: Thank you. Same to you.
Operator: We'll go next to Bryan Keane, Deutsche Bank.
Bryan Keane: Hi guys! Congrats on the quarter here! I want to break down kind of my favorite topic looking at the revenue per client. I know that's been going higher just thinking about you know the drivers specifically on that. And then price realization, I know that's almost a separate thing what you guys are doing on that front.
Martin Mucci: I'll start and then let Efrain jump in. I think, one, yeah I think we're just selling Bryan more services. The revenue per client has really been helpful when you think about things like we've talked about time and attendance and some of the other ERTC, things that are driving the revenue and even really doing much stronger, even though the client growth is solid as well. We are really seeing more revenue because of more adoption of different services that the client is taking.  From a price standpoint, I think we're feeling like we still have good price realization, you know and I don't think there's some pressure on it, but as Efrain mentioned in this inflationary kind of time frame think it's – one probably is difficult to get it as it was and also while it's still very competitive in the market. But also the value that we're bringing, I think well, it's just not challenged as much given how much we've been able to do.  If you just type something like Employee Retention Tax Credit, you know we're bringing so much to our client at a relatively low cost that they're benefiting a lot. I think at that point to start, they see more and more value that we bring through COVID that has helped us get even better price realization. Efrain?
Efrain Rivera: Yeah, so Bryan to your point, I think that we've had very, very good average revenue price per client, especially on our HCM clients, it's been very positive and our price realization in this environment when you triangulate the retention, plus the extra, the additional value added in terms of services sold we we've been able to do very, very well.  One thing we haven't talked about, which I don't want to – you know I don't want to forget in this process. One of the strengths of our model is that we are really very, very quick, and Marty mentioned this earlier. We are very, very agile in terms of responding to two new opportunities that come up as a result of changes in legislation.  So we mentioned that there's this service we call Employee Retention Tax Credit. We have, I think throughout the pandemic shown agility in terms of responding very quickly and creating value added products and services for our clients. That’s helped both to raise our average revenue per client, also helped us to justify the price realization that we’ve done. Marty said, we’ve been losing very few clients to, because the dissatisfaction with value and price and its part because we keep raising the value of what we're providing to clients and they've responded very well. 
Bryan Keane: Got it and then at the success you guys are having in the mid-market, is there something driving that, that difference or is there a competitive thing going on there? 
Martin Mucci: I think Bryan you know it's really. We've got a very, much more tenured sales force now great leadership that's been driving that now for a few years. I think the last year or so we ran into a great presentations, but people not making decisions, and I think we're now going back at those and we're winning a lot of these deals against competitors. Just won a big one yesterday and in really doing well against the competitors that are out there. I think because of the product work that's been done, and the technology that is really fitting exactly what they need at the moment.  As Efrain said, the agility to be able to turn around things like employee retention insights. The fact that we give them new compensation summaries for their clients or for their employees, whatever they have needed. We are feeling like we're kind of a step ahead and in the mid-market in particular they're really feeling the pinch and retention and attraction of new employees, and we're able to do that, and remember we talked about it on another call.  This partnership we have with Indeed, where you are connected digitally through Paychex Flex to Indeed the world's largest job posting site, you get a credit on Indeed, Indeed, you can post the job electronically, digitally then if they respond to the post, it goes right into the system, if you hire them, everything is paperless, these are all things that mid-market clients in particular right now need and we've been ahead of it and really hats off to the product management and development teams. I mean we have just been a step ahead of everything they need. So I think that is real and then the power of the sales team really has come through.
Efrain Rivera: The other thing I’d add Bryan is that you know before in previous years we talked a lot about client sizes trending down in terms of clients sold. You know in the last year what we’ve seen in the clients sizes, especially in our mid-market business are trending up, not down, and I think that part of it is, there – in this environment the ability to bundle the right level of value added services to a mid-market client is valued very highly and not all of the competition can do that, because not all of the competition has an integrated platform, plus world class service and I think that that's a winning proposition in the marketplace right now. 
Bryan Keane: Got it. Alright guys, have a great and safe holiday.
Martin Mucci: Thanks Bryan. You too. 
Operator: We’ll go next to Jason Kupferberg with Bank of America.
Jason Kupferberg: Hey! Thanks guys. Happy Holidays!
Martin Mucci: Thank you.
Jason Kupferberg: Thank you, thank you. So as we entered fiscal ’22, I think the expectation you guys had was for net client base growth to return to kind of the more normalized historical levels of 1% to 3%. But based on how things have gone through the first half of the year, do you think that figure could come in higher and to the extent that it does, would you attribute it more to the gross client ads or to the retention outperformance?
Efrain Rivera: So yeah, I think we’re certainly trending at the high end of that range. We’ll see whether we actually beat the high end Jason. I think the second part of that is that, you know it's really balanced performance. I'd say last year, when I reflect back, you know I've been – in this quarter last year I think management solutions was up 1% and PEO and insurance was up about 3% or 4%. We were pleasantly surprised that actually we had started to see a return, a quick return to revenue growth. But it really was fueled an important measure by retention, which as Marty mentioned earlier was at record levels. We still continue to have very good retention, that's been great, but our sales performance has been really strong this year. So a combination of both of those is really what's driving. I would say it helps a little bit more towards the sales side rather than the retention side, but both have been strong
Efrain Rivera: Absolutely!
Jason Kupferberg: Okay. Maybe just picking up on the topic of sales since you are kind of entering the key selling season here, so just in light of the new variant, is that having any bearing on your sales strategy here, virtual versus in-person over the next couple of months? 
A - Martin Mucci: You know really Jason, it's not. I mean we've been very successful selling you know from virtually and I think that we’ll continue they have the option if the client and the rep agree you know to get together. More of them are doing that, and I think even with the variant, I think they're still – you know they are still doing that. But so many of the presentations now, particularly in the midmarket you know can be done virtually and really I think we’ve really fine-tuned that through this time.  And the sales engineering team, and so they’ve just done a great job in kind of building out sandboxes and different examples for a client that are very personalized so the client could say, ‘this is what you're going to get, this is how you work through it, and frankly it's probably easier to do it virtually and digitally than it is in front of the client you know, because they can all see it right in front of them and they can take them through it. So yeah, I don't think it will affect us.  We're well staffed, we're you know great products;, everything's really moving very well, so it feels very strong right now, but we'll know at the end of selling season, but we feel pretty good right now with the momentum. 
Jason Kupferberg: Okay, but I appreciate the comments guys. Thanks again.
Operator: We'll go next to James Faucette with Morgan Stanley.
James Faucette: Thanks very much. I wanted to follow-up quickly on retention in sites. You mentioned that is the key tool for you and your customers. Is the retention stability partly a function of retention in sites integration right now and to the Flex platform generally, and can you give some idea on client adoption of that product to-date?
A - Martin Mucci: Yeah James, it's pretty early but we're getting a lot of great feedback from clients, because everyone's looking for that kind of information and I mean we certainly use the same kind of thing and have for some time internally and now it’s much more built for mid-market and small clients to be able to use. It using a number of factors just to look at what – which employees do you think are most likely to leave; that gives them some insight into that and it can help them with the retention.  So it's pretty early in the adoption, I guess early innings of this thing I would say, but it's really been very well accepted and I think they feel like it's an easy way to use Flex to get that insight. So I would say it's still early, but great feedback with what we're doing from a predictive analytic basis. 
James Faucette: Great! And then just a quick macro question from me. You know one of the big, one of the big lingering uncertainties in the economy overall right now is just labor force participation and being able to fulfill and fill openings. Can you give a little view into what you are seeing from that perspective? Are you seeing people come back to labor force? Are there any particular areas or industries that are responding better than others or there are industries that aren't responding; just some macro insight there just as we try to get a grasp on kind of what's happening generally?
A - Martin Mucci: Yeah, sure. You know we obviously from our small business index and that really looks at the clients of ours that are under 50 employees. You know we're seeing continued growth, job growth for six months in a row now, so the job growth is good. Now we're still as you know you know what I round to 61% participation rate I think, which is down a couple of percentage points from pre pandemic. We're still short around 4 million jobs from pre pandemic, 1.5 million of those are leisure and hospitality.  So I would say the ones that are still struggling the most are the restaurants and you probably know everyone kind of sees that anecdotally from cut back hours or even you know closed a few more days than they normally would. I think that's where still the biggest struggle has been and it's a combination of you know the pay which has gone up dramatically. We're seeing average part time pay for our client base. Part time pay per hour is $19.62 last month. It's an amazing thing when you think two years ago everybody was arguing about getting to 15.  So it is more costly, the supplies are more costly as well, but I think from an employment perspective, that's probably the one that is suffering the most. But I do think that as things change now and some of the stimulus money dries up, the unemployment has changed of course back toward more normal levels, but the child tax credit you know may end up going away as well, it's been arguments.  You know you got to pay your tuition payments now. They've been deferred many of them, rents. I think you're going to see more people come back in the first and second quarter would be our guess based on what we're hearing from clients. So they’ve seen growth, but there's still a lot of people that are still sitting on the sidelines. But I think you know depending on what the market does and of course just kind of overall cash balances, as things are all coming together we expect more people to be hired in the next six months as that continues to pick up. 
James Faucette: That’s great color. Thanks a lot Marty; thanks. 
A - Martin Mucci: Thanks James.
Operator: We’ll go next to Kartik Mehta with Northcoast Research. 
Kartik Mehta : Hey! Good morning Marty and Efrain. Efrain, I wanted to go back to a little bit of a comment you made when you were answering a question on inflation and just pricing. I know usually you change pricing around May and I'm wondering what’s the current environment. Are you still with the same strategy or is there an opportunity to change a timing and maybe get two price increases, two follow-ons that add up to a larger price increase? 
A - Efrain Rivera: Yeah, that's a good question. So I’d say two things: One is, I’ll make a statement of philosophy about what the company does and then answer the question. The first thing is that I think you're right Kartik, typically in the late spring. We actually used to broadcast that, which I was not a big fan of. But we typically would look at it in late spring and raise it.  I would say in the pandemic we really have adopted a little bit more flexible timing, so we don't necessarily say we're going to do it in April - May or we're going to do it in June/July and we look at what the circumstances are and then decide when it's right to plug in a price increase, so that's the first part.  I think that you know from our perspective we think it’s important to be fair to customers. I think we're guided by that thought. The fact that we can take two or even more price increases does not determine whether we will, because in the end we value our relationship with clients. Our job is to create value that supports a price increase and much of what Marty has been saying during this call I think is an indication all of that. So we'll take a look in the spring, figure out what makes sense. We certainly don't want to create a situation where clients perceive that they are not getting the value for what we're charging. On the other hand we task ourselves with creating greater and greater value per client, so that when we do passive increase along, they don't complain about it and generally that's what occurs. 
Kartik Mehta : And then Marty, I think that – this is a difficult question, but maybe you have some insight. You talked a little bit about employees coming back to the workforce in the next six months. If you look at your client base, is there a way to tell maybe how many openings there really all are and if people do come back, what that could mean to your kind of pays per check? 
Martin Mucci: Interesting! I think we could tell with some of them, because you know of course they use our products for posting jobs and so forth and we can see and we actually give them you know kind of a notice that says, “Hey! You know if you just let someone – if you've just reducing an employee, would you like to post this? Would you like to do something with it?” I don't have that number right in front of me Kartik, but I think we continue to try to watch that to see and we know the average employees. I think definitely we have some sense that it can obviously continue to benefit us from where it is.  We're seeing the tailwind of the economy and that our employees, that our clients are hiring and as Efrain said you know, that we've seen the average size of the clients grow as well. So we still think there's some room to grow there and that would obviously give us continued tailwind. 
Efrain Rivera: And I’d say Kartik, we obviously to put a plan together as we get into the spring of next year we’ll create a more detailed estimate of what we think. It will be really important to see where we end up in the January - February time frame. You know last year and it seems like many, many, years ago, there was an outbreak. There was the post-thanksgiving winter outbreak like we're having now in New York and it did have a little bit of impact. We're not seeing that right now, but we'll have to get through the next month, month and a half, to get a better sense of where we're at.
A - Martin Mucci: Yeah, the other thing with that is even if we knew, because we have some sense of how many openings there are, you don't know if that restaurant or that business is going to back fill them or not. They may have become more efficient. We certainly have seen our clients become more efficient during this period and realize that they could do without this employer or that one and not hire back after an extended period of time and not been able to get somebody. So it's a little hard to predict, but we still think there's certainly room for that to grow. 
Kartik Mehta : Well, thank you both of you. I really appreciate it.
A - Martin Mucci: Okay Kartik, thanks. 
Operator: We’ll go next to Mark Marcon with Baird. 
Mark Marcon: Hey! Good morning and happy holidays Marty and Efrain and Marty and John, congratulations on the promotions. I have several questions. On the Paychex pre-check, what sort of adaption are you getting and how much is that actually helping in terms of the accuracy of the payrolls?
A - Martin Mucci: Yeah, its early innings for pre-check, but we're getting very good feedback and that it's very easy for them to check that the accuracy that from a client perspective they feel the accuracy is helping them, you know from the standpoint that their employees aren’t going to complain that something they – they got something that they didn't expect in the paycheck. That they got a chance to see their hours, that they got a chance to approve those or be able to say from a digital standpoint, “Hey! I disagree with this, and I have a question that the employer can take care of.”  So it's early. Mark, I'd give you a better sense probably in a quarter or two, but really good feedback on the early clients that we've seen from that standpoint. 
Mark Marcon: Right. And what are you seeing in terms of on-demand payroll and the demand for that at the small end? 
A - Martin Mucci: Yeah, you know it's been steady, but still I'd say pretty light. You know there's certain clients, the more the hourly and restaurants, things like that, and they are still a little bit slow to adopt it. I think we can, we still got a lot of opportunity, really to advance that as more people get used to it and there's more demand for it. I think clients are a little concerned sometimes about offering it, because we are not sure if that's going to have a cashful impact, which it doesn't, and then the employees are not aware of it and so they don't ask for it.  I think you're going to see over the next, it'll take I think the next couple of years, but I think they'll be a very big demand for that as you know employees just say, ‘hey, look I want to get paid today’ and I think you'll see a resurgence of more gig economy kind of thing where I'm working two or three jobs, but they're all I want the money now because it's eight hours here in eight hours there.  So I'd say still pretty light success for those who do it, they like it, and we're trying to find new ways to build that out and grow that business, because we think it's really going to be a big demand in the future. 
Mark Marcon: Great! And then in terms of the gross sales, you mentioned how strong things are. Obviously you're in the middle of the key selling season, but I'm wondering in terms of what you've seen thus far this season, how would you describe it between the micro versus the small, versus you know you're more medium sized clients and what are you seeing in terms of the differences between established versus brand new business formations? 
Martin Mucci: Yeah, I mean really strong at all sizes. I would say, right from SurePayroll size, very strong growth and from sure strong growth on the Flex side from small to mid-size, and the mid-market really we're doing very well. This is one of the best years we've had in years and I talked a little bit about that. Some of that is clients that got presented to last year that had really we are ready to decide. But I just think the overall package as Efrain said, we are really the only, one of the only maybe a two major competitors of the bunch that can offer everything in an integrated fashion with the latest technology.  So you can buy parts from other competitors, but you're going to have to connect the third parties. We can do that too, but if you want it all in one place and the HR expertise to back it up, with over 650 HR experts, which people really like to have as a back-up now, that's what they are seeing and is very strong. So we're seeing it across the board, sorry what was the second part of that, it was all the different. 
Mark Marcon: The established versus the brand new businesses, I mean what you were just saying in terms of like being the only one of two that can offer everything, are you seeing an increased level of wins with companies coming back to you from some of the newer competitors that are out there. 
Martin Mucci: We're seeing some, yes, in the mid-market and we're winning more on the up front. I would say it's stronger on the up front like going head-to-head today, than necessarily winning them back, but we're getting some of those as well. And I think and we are still seeing a strong growth and as you know, new business starts. It's still, I think it's up year-to-date maybe 30% to 40%. So we are still getting a very small on the low end, there is more typically on the very low end as you know, but we're still seeing a lot of start-up businesses, and I think it's just part of the economy right now. 
Mark Marcon: That's great. Thank you. Congrats! 
Martin Mucci: Okay, thanks. 
Operator: We'll go next to with Tien-tsin Huang with JPMorgan. 
Unidentified Analyst : Hi guys! Its Andrew on for Tien-tsin. I just wanted to ask you a question – hello! I just wanted to ask a question. I know about a year ago, in the earlier part of this calendar year, we were talking about ASO out selling to PEO and I know last quarter we talked about PEO coming back strong and into this quarter. So I just wanted to ask how that’s coping today and just more high level, how the margin differ across those two solutions? 
Martin Mucci: Yeah, first I'd say that the sales Andrew have evened out pretty good. I mean we're having strong ASO and PEO sales. I think you know PEO has come on very strong, particularly in those, the great markets that we're in; hats off to the sales and service teams there. We are having not only good growth there, but also ASO. So it was really we're having good strong growth in both markets and I think it just shows the demand for HR Solutions that not only from a digital solution, but also with the HR Expertise that we can bring from both sides and the need for full benefits.  One of the things that we just did a survey and it comes out very strong is, the need – if you're going to attract and retain employees, you got to really look out for their wellbeing and that’s from a financial standpoint, that's from benefits, retirement included, they're really looking for that overall perspective. I’ll let Efrain, if Efrain you want to. 
Efrain Rivera: Yeah, you know with respect to the question on margins, the margins on PEO are going to be lower, not because the core offering has lower margins, but because of the absence – I’m sorry the inclusion of pass through revenues on insurance. So to Marty's point when you sell the full benefit, you've got insurances attached. Those carry lower costs, because a portion of them are pass-through. So the margin is lower on the PEO or the revenue can be higher. 
Undefined Analyst : Got it! Thank you and I just had one follow-up. I know you talked a lot about the retention tools you guys are offering to customers, but just on the hiring side, what are some of the ways that Paychex can help SMBs with their actual hiring? I recall last quarter you talked about the partnership with Indeed. I was just curious also if we could hear how that's trending. 
Martin Mucci: Yeah, its continuing to trend well. It's a hot market as everyone knows to hire, it's very difficult. And I think that that partnership of being able to do it, you know to partner with Indeed who as I said is so many job postings, they are the largest in the world I think right now from a job posting site. To have that digitally connect, to also have to deal with them where they get some credits with Indeed to be able to post is all very strong, and then I think that that also attracts people. Then the full benefit, the full HR Solution that I just said, you know the benefits of retirement and all of the other benefits, insurance benefits, this is really attracting more people and retaining the client.  So that is all things that we can offer, not only from a full solution set, but from a technology standpoint that really attracts a generation that is out there deciding where they want to work today. You know they want things on their mobile app. The Paychex Flex mobile app is full featured. You can have your retirement, your insurance, your paystub, you have now Paychex. You know you are working for somebody who you feel like not only has full benefits, but they are a leader in technology when you use our product. So that's how we're helping our clients, particularly I guess I’d say in the mid-market to succeed and that drives a lot of value for them and for us. 
Unidentified Analyst : Great! Thank you, and have a happy holiday and New Year's Eve. Bye! 
Martin Mucci: Great! Thank you, Andrew. Bye-bye! Same to you. 
Operator: We’ll go next to Peter Christiansen from Citi. 
Peter Christiansen: Good morning, Marty and Efrain. Happy Holidays! 
Martin Mucci: Yeah thanks. 
Peter Christiansen: Nice results. A couple of questions here. Efrain you did mention new business formation continues to be strong. Certainly have been driving that from the chats and that's been what, 50% typically of new sales. But I was just wondering if you could talk about the opportunity or maybe the trend that you're seeing from you know the sales file or maybe from some of the regional, perhaps less sophisticated players out there. How are some of the trends there behaving as regards to new sales?  And then my follow up would be, you talked for a number of quarters since the pandemic; ASO, HRO has been gaining, it's been really strong. Has that mix-shift helped them? To what degree is that mix shift helping the margin I guess is my follow up. Thank you. 
Martin Mucci: I’ll start it out with some of the regional players. We are net - certainly net adding from a regional player perspective, meaning selling versus losing. I think many of the regional players are struggling in this environment to provide as many – as much value through COVID. The speed at which regulations are changing and demands on small and mid-size businesses for vaccination policy, the mandate, what's the latest, you know you're going to get that from someone like us and in fact many smaller players try to copy our stuff off the web.  We have a very comprehensive website for marketing that puts all the information on by-state telling you what you have to do, where you have to do it and then here's the products that will help you with that from a technology and a service standpoint.  So I think it's really been more difficult on the regional players today that just don't have the breadth of service knowledge or compliance people to be able to keep up with us. We have over 200 compliance experts that follow every single thing that's happening and that may happen, so that we can be as agile as Efrain mentioned earlier on creating these products almost as soon as the issues come out.  So very strong from a regional competitor standpoint on the net ads that we've seen year-to-date. You want to take the…? 
Efrain Rivera: Yeah, and Peter on the margin part, you know one of the things that I think you've seen in the model certainly over the last three, four quarters or so is that when you have growth in revenue, you don't have attendant costs associated with it typically, and so you scale mostly and drop a lot to the bottom line. I think that's particularly true on management solutions where that's a higher margin – that's the higher margin portion of the revenue and so when ASOs is growing at the rate that it's growing, because of the way that our business model works, a lot of that ends up dropping to the bottom line. So it – all of the mix shift in terms of the way the business has been growing has been helpful to margins. 
Peter Christiansen: Very helpful gentleman. Happy Holidays! 
Martin Mucci: Thank you. Same to you. 
Efrain Rivera: Take care. 
Martin Mucci: Are there any other questions? 
Operator: We’ll take our final question from Scott Wurtzel with Wolfe Research. Your line is open. 
Martin Mucci : Okay, thank you. 
Scott Wurtzel : Thanks! Hey guys, this is Scott on for Darrin. Just first one, within our Management Solutions you guys called out, one of the drivers being improved marketing conditions for retirement services, I was just wondering if you could give a little more color on that? 
Martin Mucci: Yeah, I think what's happening there is there's a lot of mandates now that are coming out by state. You know we still haven't seen necessarily the federal mandate, but that's been discussed a lot, but a lot of states, California in particular, New York, some others are coming out saying that you know businesses – in some cases all sizes have to offer a retirement plan of some sort to their employees.  So there is going to be some – there's some mandates there that will have penalties that are starting to be enacted. Some are in place already and in California I think coming up in June. So there's a lot of attraction there to people not only looking at it from that standpoint, but also just from a hiring standpoint and full benefits.  There's a lot of interest as I mentioned in having a full suite of benefits for the wellbeing of the employees that’s helping retain them and attract them in a difficult market. So it's retirement, it's insurance, it's what's your work from home policy, your hybrid policy of working in office and home. It’s all those things kind of combined, it’s not just compensation.  So that's really picked up and we’ve had, continued to have a very strong retirement sales and the fact that we offer a multitude of products and we just went over 100,000 clients I mentioned earlier. It's a great milestone. We're still Number 1 in new 401-K plans that are offered and I think between our PEP plan and our regular 401-K plans and that raised very strong very strong conditions in the market and great success from our selling team, selling them and servicing them. 
Scott Wurtzel : Great! And then just one follow-up. As we think about investments in the business going forward, I know over the course of pandemic you've got to investing a lot on the digital and the self-service side of things. Just maybe as we hopefully approach more of a normalized environment, could you give a little more color on where you may be employing some investment dollars going forward? 
Martin Mucci: Yeah sure, it will continue certainly on the marketing side as well to get – the leads are coming in from a digital standpoint. We've been very successful in the work that our marketing team and leadership have done. We expect that to continue. That is accelerated through COVID and how people are buying, but also you'll continue to see it in the way we sell from a digital standpoint and the way we onboard as well.  You're going to see that, the self-service we talk about, that's going to be continued, because this is the way clients deal. They want to go as no surprise, they want to go online, they want to see your product, test your product, price your product and even start implementing it themselves, and be able to do that with a world class innovative product and mobile experience, and that's what we've got. So you'll see our digital investments continue in that standpoint. We've seen a lot of success from the investment we put out so far and that's going to continue. 
Scott Wurtzel : Great! Thanks guys. Happy Holidays! 
Martin Mucci: Thank you. Same to you. 
[End of Q&A]:
Operator: There are no further questions in queue at this time. I'd like to turn the call back over to our speakers for any additional or closing remarks. 
Martin Mucci : Alright, thank you. At this point we will close the call. If you are interested in replaying the webcast, it will be archived for about 90 days. Thank you for the time you're taking to participate in this second quarter earnings release call and for your interest in Paychex. We wish you and your families a very happy and safe holiday season. Thank you all. 
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.